Olivier Roussat : There you are. That's our new institutional video, showing you a number of the achievements that we did in 2024 and highlighting the value of our employees. So let's move on to the heart of our presentation with the results for 2024. I'll be doing this with Pascal Grange. And then with Edward, Pascal and all the other heads of the business segments, we will happily take your questions. Let's begin with the highlights and the -- of course, the key figures for 2024. This year, we posted very robust results. We've achieved the targets, the guidance that we gave you last year. Sales are up slightly year-on-year as expected. Our COPA grew slightly higher than expected. 2 other areas we're happy about: first of all, the level of free cash flow before working capital requirements, which rose 8% year-on-year. We're also very satisfied about the level of net debt at year-end 2024. Despite the fact that in 2024 we purchased acquisitions for over €1 billion, despite that, we have improved our net debt. We're especially happy about the performance of Equans -- while Etienne is picking up his pen. Equans has shown just how successfully it has executed the Perform strategy plan that Jérôme told you about in early 2023. Equans achieved a margin from activities of 3.5%. Its cash conversion rate, that's COPA to cash flow before working capital requirements, was 98%. And Equans also posted a net cash position of over €1.5 billion. Another important point. In this stable world, our backlog is at a record high, giving us very good visibility on our future activity. This backlog has risen 13% over 2023 to establish itself at €32.2 billion. Given all that, the Board of Directors, at its meeting of yesterday, has proposed that the shareholders be asked on the 29th of April to increase the dividends to €2 per share. Before that, it was at €1.90 last year -- which is a 5.3% increase on the dividend we proposed last year, which in itself was a €0.10 increase on 2023. Key figures on Slide 5 now. Group sales reached €56.8 billion. That is growth of approximately 1% over the year. The group's current operating profit from activities reached €2.53 billion. That is a 5% increase year-on-year. Net profit attributable to the group amounted to €1.058 billion, up slightly over the period. Now Pascal Grange will give you a detailed analysis when he talks about our income statement, but finally on this slide and -- group net debt was €6.06 billion at year-end '24, down from €6.25 billion the year before. That's a good performance, especially when we bear in mind the amount invested in acquisitions in 2024 which was slightly above €1.1 billion, with the acquisition of La Poste Telecom for almost €1 billion and the Johnson Production Group purchased by TF1 for €70 million. That's a very theoretical position, but had we not made those acquisitions, our debt would have improved by €1.3 billion. However, we made those acquisitions. And we only improved our net debt by 1.5 billion which is still a very good performance in itself. Moving on to Page 7, information on our greenhouse gas emissions in 2024. We totaled 21 million tonnes of CO2 equivalent in 2024. For a constant scope of consolidation between 2023 and 2024, this slide shows how we reduced our greenhouse gas emissions over the year. It also shows just how much we on the energy mix and countries, more and more carbon content in certain countries. These figures can vary, the energy mix not being the same many different countries. And the first slide, we mentioned that's science based target initiatives Science Based Targets initiative has endorsed all 6 business groups for -- in terms of our decarbonization rights. This was initially approved back in 2022. Bouygues Immobilier and TF1 telecom were approved in 2023, and Equans had its targets endorsed in 2024. Now this decarbonation trajectory is consistent with the Paris Agreement's goal of limiting global warming to 1.6% Celsius. Colas, which was the first to have its decarbonization targets endorsed in 2024 has approved its new targets in 2024. We also have external ratings on our CSO policy. You see that we are rated -- our rating is stable with MSCI; and the Carbon Disclosure Project, CDP. Our ratings are actually up according to Moody's Analytics but also according to sustain analytics Sustainalytics, I should say. Let's now move on to the review of operations, beginning with construction. As I said earlier by way of introduction, our backlog in construction is at a record high, a record level of €32.2 billion, which gives us visibility for the future of our business. On this in Australia. It's the Torrens-to-Darlington route. This is a contract that was awarded in 2024 by works, the works that we will carry out total over €2 billion carried out in what we call an alliance mode with a lot more cooperation between the client and the builder, which I think reassures both sides for Bouygues Construction 2 -- 3-way tunnels with an open motorway section of 10.5 kilometers. This is aimed at optimizing or to streamline freight transport routes, improving access to Adelaide's central business district. This will be between 2025 and 2031. And at the peak, there will be up to 5,500 people working on the site. Let's now take a closer look at the backlog in construction, beginning with Colas. The backlog is up €700 million over the year, up to €13.1 billion, despite the change in scope of consolidation because we disposed of a business in Q3 '24 in Italy. We sold off Colas Rail in Italy, which actually reduced our backlog by €300 million. Over the year, the roads backlog was up 2%, France up 8%, international operations down fractionally by 1% mainly due to North America. Now the rail backlog is overall up 14% year-on-year. The order intake in 2024 was €13.4 billion. That is up in roads both in France and internationally. And in rail, this depends on large contracts which are not at all linear. It depends on major projects. We, in 2024, signed fewer than in 2023. Remember these are projects that span several years. However, I might mention 2 large contracts we've been awarded, 1 for the renovation of Cairo Metro line 1 in Egypt worth €310 million and the follow-up of the HS2 catenaries project in the U.K. Colas is now putting in the catenaries on the HS2. That's the high-speed train line, €240 million for that second project. Again on the backlog in construction, moving on to Bouygues Construction, which was up by €3.2 billion year-on-year. This has been driven by all 3 sections: civil works, up 42%, thanks largely to the project I mentioned earlier. International building saw its backlog rise by 6%. Building in France also rose 3% year-on-year. If you look at the situation at the end of December '24, at year-end '24, the backlog was €9 billion, which was €800 million over the same level at the end of 2023, which is -- augurs well for 2025. Bouygues Construction took in an order -- orders worth €13.3 billion, sustained by contracts that we call normal course of business. That is contracts of less than €100 million total order intake, a very good balance between normal course of business and major projects, 49% and 51%, respectively. This is both in France and outside of France. In Q4, to mention but a few examples, Bouygues Construction was awarded a contract in Australia to build the northern tunnel of the SRL Melbourne line, €340 million for that contract; in Switzerland, to build a campus in Bern, a contract worth €310 million. This brings me to Bouygues Immobilier. Throughout the Bouygues Immobilier difficult year long. It's virtually at a standstill in commercial buildings. The downturn in interest rates since 2024 900 million. Sales in the construction business reached €27.5 billion, up 1%, driven largely Bouygues Construction. Colas' sales, down, dropped very fractionally to €15.9 billion, almost stable. It would be stable at a constant change of consolidation. Roads are fractionally down. The growth in France was offset by a downturn in international activities. Colas Rail was up 6% year-on-year, which is a good reflection of all these alternative infrastructure projects. Bouygues Construction's sales were up 6% to €10.3 billion, driven by the strong 16% growth of our international building but also by growth in civil works and the 2% increase in building in France -- by -- the sales of Bouygues Immobilier, given the very weak level of bookings, is down 17% to €1.5 billion with the sharp decline in residential property, down 14% year-on-year, and commercial property sales close to 0 for the period. So what kind of current operating profit from activities does that give us? Our COPA in construction was €827 million, down fractionally year-on-year. This slight decline was due to Bouygues Immobilier, because the other 2 businesses saw their COPA rise. Colas had a COPA of €552 million, up €10 million over the year. Its margin from activities reached 3.5%. That's up 10 basis points on the year. Remember, in 2023, in COPA or on the COPA, we had disposal of land that improved COPA in 2023. Bouygues Construction's COPA is up to €326 million. That's up €45 million. Its margin from activities rose 30 basis points to 3.2% over the year. This is a good illustration of the strategic plan called Greenlight. And finally, Bouygues Immobilier has negative COPA. It's a negative €51 million. In 2024, Bouygues Immobilier tightened its structure to adjust it to the size of its shrinking market. It also granted discounts to its customers and booked provisions on certain transactions for the purposes of precaution. It is now ready to align with any market recovery that will happen. Moving on to Equans. For 2 years now, Equans has been rolling out its strategic plan called Perform. We presented this at a Capital Markets Day in February of last year, February of 2023. This plan has been rolled out very satisfactorily. Equans' figures are faster and higher than we expected. In terms of group sales, growth is illustrated by sustained demand linked to the energy, industrial and digital transitions. These are really at the very heart of Equans' business. The margin from activities rose 1.2 percentage points to a margin of 3.5% in 2024. This is consistent with our initial expectation but also shows that the Perform plan, under Jérôme's team, is being rolled out successfully. We had considered reviewing our pricing. We've been working on pricing, procurement, the de-bugging of large contracts that were generating losses. We also worked on turning-around profit centers that were producing losses; and productivity, using different working methods. Now over this same period, the net cash generated improved substantially to reach €1.5 billion at year-end '24. On the right-hand slide, you see the size of this net cash surplus at the end of '22. So it has risen since by over €1.3 billion, from €181 million to €1.5 billion. In the meantime, Equans still paid out dividends for €400 million to its shareholder over 2 years, so the reality of that rise is actually in excess of €1.3 billion. It's higher, again. In this environment, Equans has remained selective, so it's not so much the target. This is much sales growth. It's our margin. Our backlog is up 3% year-on-year to €25.4 billion. The margin on orders taken continues to improve. And Equans' sales figure is at €19.2 billion in 2024, up 2% on the previous year. This is better than we expected given the fact that we've been more selective about the contracts we take on. We also sold off a number of activities in the meantime, which will mechanically generate less sales, but despite that, the good dynamics of sales have produced that result. ROCA at €135 million, that's a 3.5% ROCA margin, up 60 basis points. Now the conversion of COPA to cash flow before working capital requirements was 98% in 2024. That's a very satisfactory level in the upper part of the bracket we announced. We told you that we were targeting between 80% and 100% conversion rate. Pascal will elaborate on a number of the indicators that we publish just to put into perspective the way we calculate some of these indicators. Anything that isn't completely normalized makes it more difficult to compare, so Pascal will tell you more about that. Equans outlook for 2025. Well, Equans will continue to roll out its strategic plan called Perform, the goal being to continue with the organic growth of its sales, to aim at improving its operating margin to close to 4% and to convert between 80% and 100% of its COPA to cash flow before working capital requirements. As a reminder: Our goal is to gradually catch up with the organic growth of sector peers and to achieve by 2027 a margin from activities of 5%. Again, the definition, Pascal will tell you more about a little bit later on. And now Bouygues Telecom its -- met its targets in 2024. You have the numbers on the slide. The sales attributed to customers was up 5%. EBITDA reached €2.037 billion. And gross capital expenditure not including frequencies was €1.541 billion. A few words about fixed lines. And that is, of course, one of the drivers of growth at Bouygues Telecom. So a few words about the performance in 2024: And regarding the quality, as perceived by an independent body, Bouygues Telecom was #1 on WiFi, and of course this is critical at homes, for the fourth year running, according to nPerf. We became #1 for the second year running for fixed lines, according to nPerf. And that's about the way the set-top boxes are designed. And then Bouygues [indiscernible] made 2 big announcements at end 2024, 2 defining offers. One is called B.iG, B-dot-I-G, which is for families. You have a discount based on the number of mobile phones -- mobile devices in the home. And then a new segment in fixed lines. It's called B&YOU Pure fiber, for autonomous digital customers do not use the phone or TV, simply want to have high-speed Internet. And also Bouygues Telecom announced at the beginning of the new year its new box. It's the first WiFi 7 certified box as defined by the Wi-Fi Alliance. And of course, that growth -- goes to strengthen our perception. It's a growth driver for Bouygues Telecom. And if you move on to the next slide, if you look at the growth momentum of Bouygues Telecom. It was a strong performance both in terms of volume and value. Bouygues Telecom gained 615,000 new FTTH customers in 2024, of which, 207,000 in Q4. Customers with an FTTH offer numbered to 4.2 million. They account for 81% of the total base. They used to be only 73% just a year ago. And the total number of customers. You have 5.2 million fixed customers, up 263,000 over 2024 and including 111,000 new customers in Q4. That was the highest growth over a single quarter ever recorded this -- recorded since 2011, goes to illustrate the success of the new B&YOU Pure fiber offer. And ABPU. Fixed ABPU is steadily growing at -- it stands at €33.4, up €2 over 1 year. And we are rolling out the fiber over the country, and now we have as many as 38 million marketed premises for FTTH. And if you look at our mobile performance. Even though the market was less dynamic in terms of actual growth -- but convergence is the great strategy of the -- new business strategy, along with the loyalty building. Not including machine to machine, we have an additional 330,000 new customers, not including La Poste Telecom, of which 93,000 new customers came in Q4. Still talking about mobile. With the customers acquired in Q4, we have 2.8 million new customers on Bouygues Telecom's mobile base. And mobile ABPU not including La Poste Telecom is down to €19.1. This is a very competitive market where -- with low acquisition prices. And if you look at La Poste Telecom's own ABPU, it stands at €11. If you look at the key figures for Bouygues Telecom. The sales billed to customers in 2024 is up 5% over the year. This performance is driven by the excellent growth of fixed business, up 1% of sales year-on-year. This has been offset by lower other sales. Other sales includes handsets, accessories and build to suit. EBITDA after leases stood at €68 million -- it stood at, sorry, €2.037 billion, up €68 billion. And that includes effects of cost control. We have EBITDA margin standing at 32.7%, and that includes a slight dilutive impact because of the acquisition of La Poste Telecom. If you look at COPA over the year. It stood at €795 million. Of course, you have a rise in EBITDA but an increase in depreciation and amortization related to capital expenditure over the past few years. To zoom in on La Poste Telecom because that's been completed because we -- the closing was completed at the end of 2024. But a few reminders of the why we acquired La Poste Telecom. First, it enables Bouygues Telecom to strengthen its position in the mobile business. We have 2.4 million new customers because -- coming straight from the La Poste Mobile. That company has as many as 460 employees that are there to train post office employees to sell mobile services. And of course, it has good proximity to the customers; a great network of points of sales, post offices, namely. So this is an area that we're not present in, plus presence throughout the country. We have 7,000 post offices. And we can increase EBITDA after this in an area with basically fixed costs. So we can take out all the 2.4 million customers that are now hosted by the SFR network and take them to the Bouygues Telecom networks. And once that is complete, the migration is completed, that will bring an improvement of €140 million in EBITDA, once the migration then has been completed. What are the next steps then? For 2025, we will continue taking in the new -- the employees from La Poste Telecom. So we're talking about 460 employees. We will have a fixed offer in Q4 of 2025. And so that will be available from post offices. And then we will start the migration of La Poste Telecom mobile customers on to Bouygues Telecom's own network. We'll have synergies in terms of procurement, licenses, communication, advertising. And then that will continue in 2026. The migration can start. And we will be selling the new office -- launching the new office in 2026. And then 2027, we will complete migration. We expect to have as many as 90% of all La Poste Telecom customers to be -- to migrate to our own network, from SFR's network to our own network. So what's the outlook for 2025 for Bouygues Telecom? Well, for 2025, first, we are looking at sales billed to customers slightly on the increase compared to 2024 like-for-like, not including La Poste Telecom, of course, but then you have to add La Poste Telecom's own contribution. EBITDA after leases should be close to that of 2024. The thing with Bouygues Telecom, we -- well, we didn't suffer from higher energy prices because we decided to have hedging. We had green electricity as early as 2020. And so we had a PPA that enabled us to have electricity rates much lower than what was on the market when the prices went up. So we were covered up to 2024. We that hedge won't -- will no longer apply, so we'll have higher prices after 2025. The contribution -- La Poste Telecom's contribution to EBITDA after leases will be somewhat limited in 2025, but once we have fully migrated, we will fully benefit from that, as early as 2028. We're looking at about €1.5 billion in gross capital expenditure. That includes, of course, the expenses related to the migration of La Poste customers. And Bouygues Telecom will not exercise its call option that would enable it to acquire a 51% stake in the -- in SDAIF. That is Orange FTTH network in moderately dense area. So we will not be acquiring that. The outlook now for 2026 not including La Poste Telecom. So the numbers for 2026 assume that the budget law that was imposed in 2025 -- these provisions, tax provisions will not be renewed in 2026. I mean we -- in 2026. Hope springs eternal. Gross capital expenditure should stand at about €1.250 billion, not including frequencies. And free cash flow before WCR should stand at about €600 million, not including frequency. La Poste Telecom's contributions to Bouygues Telecom. So with -- we've acquired it now for 4 months. We feel that the effects of integration and the development of La Poste Telecom will bring the following. First, La Poste Telecom's contribution to EBITDA after leases will be somewhat limited in 2025, will reach a low point almost 0 in 2026 and then will grow gradually back in 2027; the full effect expected to be, as I said, €140 million in 2028, when migration is completed. In 2026, free cash flow before WCR and not including frequencies will be reduced by 2 things: first, operating CapEx will -- which will be needed for the successful migration of La Poste Telecom's customers, and that should cost us about €35 million. And then we expect that interest expense, net of tax, associated with the acquisition of La Poste should also stand at about €35 million. So all in all, La Poste Telecom's contribution to Bouygues Telecom's free cash flow before WCR and not including frequencies will be gradual, neutral in '27; full effects in 2028, when about 90% of its mobile customers have joined Bouygues Telecom's own mobile network. Let's move on now to TF1. TF1, as you know, had 3 objectives for the year 2024: pursue the growth of the digital business, building on the very promising launch of TF1+. Revenues -- advertising revenue was up 39% on TF1+ and brought together as many as 33 million streamers on average in 2024 every month. Margin should be closer to that of 2023. TF1 delivered margins at about 12.6%, so slightly up, 1 -- 0.1 percentage points, compared to 2023. And for our dividends policy, we expect those to grow over the next few years. And specifically, TF1, on its AGM on 17 April, will suggest a payout of €0.60 per share, up 9% from -- compared to 2023. If you look at the ratings and the audience shares. Audience shares were strong, 33.5% audience share amongst women under 50 in charge of purchases, 30.5% for individuals aged between 25 and 49. Revenue was up 3% at €2.4 billion, driven by these 2 aspects, media and Newen Studios. Media was up 2% over the year, thanks to a advertising revenue driven by the strong advertising momentum on TF1+, the digital branch, which was up 39% over 1 year. And revenue from Newen studio was up 5% over the year if you include JPG's contribution over that year. Now regarding the audience shares. We are trying to bring them to the digital part to -- in line with new viewers behavior, but in spite of the changes that brought, meant expenses, COPA was up €9 million to €297 million. The margin was up as well, 0.1 percentage points, at 12.6%. We had expenses around the advertising business. It was more dynamic over the 9 first months of the year, but we -- of course, last year, we sold a brand in Q3. That enabled us to pursue our capital -- or our investments in digital in Q4. We -- what are, what's the outlook for 2025, again, for TF1? In the advertising revenue, we have limited visibility, advertising. The advertising market is very much in line of -- with GDP growth. We're looking at strong double-digit revenue growth in the digital business. Margin should be close to that of 2024. And our dividend policy again is looking at growth over the next few years. And now I'll give the floor to Pascal Grange, who will give you more detailed presentations of the numbers. Pascal?
Pascal Grange: Thank you, Olivier. Good morning, everybody. Just a few additional explanations on the statements as of December 31, beginning with the income statement. I'm not going to dwell on sales and COPA, which have already been explained by Olivier overall and individually by business segment. Now let me begin by telling you that, in the course of 2024, we booked €97 million in amortization of PPA, power purchase agreements, including €54 million for Equans which have been carried at Bouygues SA. The second item, these are the nonrecurring items. They are not strictly representative of the activity, but they amount to €196 million over the year. The main nonrecurring items are, first of all, Equans which booked €96 million in nonrecurring expenses mainly in connection with the management incentivization plan that we talked about at length during our Capital Markets Day. This covered the whole period 2024 despite the fact that, in the previous year, it only concerned part of the year. As a result, the total amount is higher in '24 than it was in '23. Second factor, Bouygues Construction booked a nonrecurring expense of €56 million. This was due to a change in regulations in the United Kingdom concerning its activities, of course. Thirdly, Bouygues Immobilier, as we have said in the previous quarters, booked a nonrecurring expense of €31 million mainly due to the streamlining of its activity. Finally, Bouygues Telecom carried nonrecurring income at the end of the year, mainly due to the disposal of data centers and mobile sites. The third factor I'd like to talk to you about is the cost of net debt, which was minus €187 million. It was an expense of €254 million in 2023. So this improvement was due to a number of factors, mainly the increase in net cash and the interest on net cash, but on the debt side, our debts are mainly in the form of bonds at fixed rates. The fourth contributing factor, and we're now looking at the bottom of the income statement, with an income expense of €617 million, up from €547 million in 2023. Now this gives us an effective tax rate of 33.4% in 2024, up from 32.4% the previous year. The increase in the effective tax rate over 2023 is mainly due to the increase in permanent differences. For this reason, the group's effective rate of taxation in '24 is higher than the theoretical tax rate in France, which is -- which was 25.83% in 2024. Fifthly, the net share of -- or net loss attributable to noncontrolling interests was €163 million, up from €161 million in the previous year, with several reasons for that: losses that were expected in Bouygues Telecom's joint ventures which are still in the investment phase, particularly in fiber; but also the lesser contribution in 2024 of a certain number of co-promotions between Bouygues Immobilier and particularly in commercial property, which contributed significantly in 2024; and the lesser contribution of Tipco Asphalt, which is a joint venture with Colas -- or alongside Colas in Thailand. The upturn of all this is a net profit attributable to the group of €1.058 billion, up €18 million over the year. The second factor I'd like to talk to you about is the change in net debt in 2024. This has already been mentioned by Olivier Roussat. We're on Page 39, by the way. Net debt at year-end was €6.1 billion, down from €6.3 billion at year-end '23. This is a €200 million improvement. By comparison with year-end '23, this variation, again as Olivier said earlier, is all the more remarkable that it was achieved despite the fact that in the course of the year we made acquisitions, net of disposals, totaling over €1.1 billion. So the variation in net debt can be explained by, first of all, acquisitions, net of disposals, that mainly included the acquisition by Bouygues Telecom of La Poste Telecom as well as investments in joint ventures by Bouygues Telecom, the acquisition of JPG by TF1; and the buyback of TF1 shares. Secondly, the variation in share capital and others, accounting for €61 million, includes Bouygues buybacks for €69 million, mainly for the purposes of cancellation; to compensate the exercising of stock options; and the liquidity contract. Thirdly, the dividend payout for €816 million, including €718 million for the Bouygues shareholders, the remainder being its dividends paid out to minority shareholders in TF1 and Bouygues Telecom. And finally, operations, which generated surplus cash flow from operations of €2.2 billion. I now propose to look at this excellent performance on Page 40. Let's begin with net cash flow. This includes lease obligations. This amounted to €3.8 billion, up almost €500 million by comparison with the same figure in 2023. Net operating investments totaled €2.3 billion, more than the previous year, not that the business invested more in the course of the year. However, there were fewer disposals than in 2023. Furthermore, the frequencies that we didn't have last year actually represented an investment of €183 million in 2024. Free cash flow before working capital requirements, including frequencies, this amounts to €1.268 billion, an improvement of almost €90 million by comparison with 2023. Over the year, the variation in working capital requirement was therefore plus €942 million, very similar to the amount we posted in 2023, so this is the second consecutive year where the variation in working capital requirement is very positive, amounting overall in some €1.9 billion generated over 2 years. Very good performance. Obviously, in 2025, our employees will continue their efforts, the efforts that enable us to achieve these 2 excellent performances over the last 2 years. And the variation in working capital requirements, particularly in contracting, is not something that can be modelized. Let's now look at the group's financial structure on Page 41. The group's liquidity situation totaled €15.8 billion at the end of '24. It's a very high level of liquidity comprising €4.8 billion in treasury; and €11 billion in loan facilities, medium and long-term loan facilities, that have not been drawn down. On the right-hand chart, you have the scheduling of our debt over time. It's very well balanced. Moving on to Page 42, you can see that our gearing improved by 2 points to 42%. This was thanks to the increase in shareholders' equity, combined with the decline in our net debt. The rating agencies have given the group solid ratings. Standard & Poor's have rated us as A- minus with a negative outlook. And Moody's have us rated at A3 with stable outlook. Finally, let me conclude this presentation by underlining the fact that our next bond maturity is October '26. And at the end of December '24, the average maturity of our bond debt was 7.3 years (sic) 7.5 years, for an average effective rate of 2.25%. The graph on the bottom right shows you that, by comparison with 2021, the average maturity of our bonds has increased. At the same time, the average effective rate has declined, so our financial structure is solid, a good illustration of our financial discipline, which means that we can retain our financial independence, our independence to act, in all circumstances. That bring us to the end of this presentation of the accounts. Thank you, ladies and gentlemen, for your attention. Olivier, let me give the floor back to you.
Olivier Roussat : All right then. So before we take your questions: the outlook for 2025. For our group, we will know that, all in all, the global environment is rather uncertain. Nonetheless, we intend to adapt. And we can show how we can adjust to new conditions and new markets. And we will continue our efforts to improve profitability. For 2025, we're looking at a slightly improved both revenue and COPA compared to 2024. And you can see at the bottom of the slide that, as things stand, the effects of the new budget law, the tax law is expected to cost us about €100 million. As things stand, that's all we can say, but unfortunately, that's the least we can expect. It could be worse than that. Having said all that, we are ready to take your questions. We have the heads of all the branches and subsidiaries.
Operator: [Operator Instructions] The first question comes from Nicolas Cote-Colisson from HSBC.
Nicolas Cote-Colisson : I had a question about the opportunities in -- investment opportunities in Europe. I know you were involved in Chernobyl, but could you say something about your take on business in 2025 in the U.K. and Switzerland that are also significant countries? Regarding risks, what's your analysis of tariffs? I know that you import equipment from the U.S. Can you tell us just how exposed you are to the U.S.? Also a question about telecom, on the need for equity capital in joint ventures in the short run. I believe that you have to pay out €50 million in 3 years. Is -- are there any other payments expected?
Olivier Roussat : Well, on the Ukraine -- on Ukraine, Nicolas, I will disappoint you. Ukraine is a rather challenging country from an ethical standpoint. So the work we had done on Chernobyl together with VINCI was an international project, but if you are looking at a local deal, it's difficult to stay in line with the provisions of the [indiscernible] law of 2016. So this is really not, say, our playground. It's not an ethical play. And regarding the other issues and the markets in the U.K. and Switzerland, my 2 colleagues who know all about it will start. Mr. Stubler, who will -- sorry. He didn't have a microphone. He was going to steal the show -- yes -- sorry. We can't really hear.
Jérôme Stubler: Yes. So in 2024, revenue was above our expectations in the U.K., driven both by capital expenditure in solar plants and solar energy in the U.K. We have data centers as well. And decarbonization there is an entire -- there's huge decarbonization project for public buildings, social housing in Britain; and we've been involved in that. Regarding Switzerland, the market is pretty stable, driven by an manufacturing industry which is doing rather well in Switzerland.
Olivier Roussat : And then we'll have with Colas in the U.K.
Pascal Minault : Yes. Pascal Minault from Bouygues Construction. First, in the U.K., we have 2 businesses building. The construction business has suffered over the years. There were a number of disruptions. That market -- well, the British government, new government, has announced stimulus programs. Having said that, our business has remained stable. We expect to get, enjoy growth, starting next year. Regarding public work, we completed the HS2 line. That project was successfully completed. We are still working on the Hinkley Point power plant and we're working on the Sizewell plant. We expect a final closing later this year. So that's the U.K. So the outlook is rather positive both in the construction business and public works. Last year, we got Lower Thames Crossing bid. And indeed the new government has confirmed that this project will be completed, and so the funds will come in from private partners as well. That's the U.K., Switzerland is an island of stability in Europe. The property market is doing well. Migration is sustained. So we have good performances in Switzerland, with a positive outlook.
Olivier Roussat : And then Colas...
Pierre Vanstoflegatte : Colas in Britain, we are mostly looking at rail. The rail business is doing rather well. We renewed at the end of last year all -- or most of the contracts for rail and track maintenance, ballast and such like. And we had the HS2 contract, which we just mentioned, the power lines for the high-speed trains. On the road business in Britain, that is a more challenging market. In fact, it is shrinking, rather, so we have to hang on.
Olivier Roussat : So Britain is an important territory in terms -- significant territory in terms of revenue and also in terms of exposure. We pulled out of the new deal activities that were driven by Equans, but still a number of other businesses are doing well in Britain. Regarding tariffs. Bouygues overall, I mean, we don't have manufactured products that we send to other products. Basically, manufacturing is done locally. If you look at the situation in the U.S., Colas' revenue stands at about €2 billion. Equans' is worth about 1 billion, upwards of 1 billion; and a few hundred million if you include Bouygues Construction's branch there. If -- in these conditions with increased tariffs, our attitude will be to have -- in our various contracts to have a direct pass-through to our customers when unit costs go up for things purchased outside the U.S. If there is an additional cost, that should be passed through to our customers, but that should be part -- that should be in our contracts now, that these clauses should be there now because the way in which tariffs -- well, tariffs seem to go up and down, disappear and reappear. This is not a very precise sign, so all we can do is just get ready for any development and provide for that in the clause of our contracts. Regarding the joint venture SDAIF and SDFAST...
Benoit Torloting : Yes. These are joint ventures. We bring in capital as and when needed. This year, we'll provide the same, roughly, order -- same order of magnitude as last year, but then in the next few years, it will be less because we've passed the peaks. And the €50 million that you've mentioned are already included in our financial debt.
Olivier Roussat : Well, thank you, Benoît.
Operator: The following question comes from Nawar Cristini from Morgan Stanley.
Nawar Cristini : I have 3 questions, all 3 on the telecom business. Number one, regarding the targets of Bouygues Telecom for 2026, you said, well, you provided, quite a bit of information on La Poste Telecom. That's very relevant, but that was not included in the targets you set for 2026. That's question number one. Number two is about Bouygues Telecom's free cash flow. And again, in your targets, you do not include WCR, but can we have more light on WCR between 2025 and 2026? And then finally, could we have an update on consolidation?
Olivier Roussat : An update on what? What's the update you need? I mean then -- not to my knowledge, there's no new plan in terms of...
Nawar Cristini: Well, the way in which you can see the market developing, your position; and take part in a future acquisition maybe. We're talking about consolidation of the telecom market.
Olivier Roussat : Well, Europe's position in consolidation hasn't changed much. Even after Mr. Besrtiger left, the units at Digicom remained the same. I don't believe we will be able to consolidate the market from 4 operators to 3. I assume that's what you meant by consolidation. And I -- maybe wrongly thought that you thought that the departure of 1 of these operators might address the problem.
Nawar Cristini: No, no, no. It was a more general question. I mean, do you -- would you like to do something in view of the -- well, the competition on the mobile business? And Bouygues cash -- Bouygues Telecom's free cash flow has become quite significant. You might wish to consider -- I mean this is a general question.
Olivier Roussat : Look. I'll give you a general answer. If you have a cake with 4 slices -- if you cut it in 3 slices, the slices are bigger. So of course, when you are in a fixed-cost business, it's worth it, but the present competition framework, the French competition authority and the European competition authority -- I do not know what the French authority' policy might be with whether they would accept a consolidation of the market and what would come in return. What just happened in Britain with the agreement, with remedies that are behavioral rather than structural, I mean, that's the new doctrine. In Britain, of course, the European Commission is no longer involved. Will that doctrine take over in Europe? We do not know. Or will they go on as before? In other words, whenever you wish to consolidate from 4 to 3 operators; and then you are required to recreate a fourth competitor, so you go from 4 to 3 and back to 4, that's going nowhere. I don't know. I have no idea what Europe's position -- but again, if you have 3 slices instead of 4 in a cake, the cake is -- the slices are bigger. That's for sure. Having said that, Benoît, maybe...
Benoit Torloting: Well, on the outlook for 2026 for Bouygues Telecom, Olivier was rather comprehensive in his presentation. I can give you a brief summary, but I believe you were given all the items you needed for your analysis. First, we can confirm what we announced in October. That is, the outlook for '26, it's not including La Poste Telecom. Early in October, we said that -- we confirmed free cash flow before WCR at about €600 million for 2026. And this is confirmed, again, not including La Poste Telecom. Again what we said in October is that we'd get back to you once the La Poste Telecom was -- when the transaction was completed, and indeed, we gave you an update today. Regarding free cash flow in 2026. We told you that, in 2026, La Poste Telecom, as Olivier pointed out -- we need to migrate La Poste Telecom's mobile customers from SFR's network to Bouygues Telecom's network. Once that has been completed, when all the migration is completed, only then we will have the full benefit of La Poste Telecom in -- both in terms of EBITDA and free cash flow. That will be done by 2028. I mean 90% by 2027, so the full effect in 2028, but before that, there will be a number of integration costs. And the -- of course, we will have to carry over the financial debt that we had to incur to acquire La Poste Telecom. And so we can confirm WCR, not including La Poste Telecom, at €600 million. And La Poste Telecom will, of course, weigh down to the worth of 35 million in the integration costs. And that's the capital expenditure needed to integrate these customers; and €35 million for the net debt -- not including tax, the debt that we incurred for the acquisition of La Poste Telecom. If you all add it up, you will get the actual outlook for Bouygues Telecom for 2026.
Olivier Roussat : Well, thank you, Benoît.
Operator: [Operator Instructions] The following question comes from Augustin Cendre from Stifel.
Augustin Cendre: Yes. I have as many as 4 questions. Number one, on Equans profit margin. If you look at these margins, it looks as though the -- well, you picked the low-hanging fruit. And now you were able to improve some of the contracts that had problems with them, what you called your bug killers that you announced at the Capital Markets Day, so what's the next stage for Equans? What do you still need to do to reach your objective of 5% by 2027? What are the remaining initiatives? That was Equans. On Colas and the margins this year: I saw that the top line was down, and yet profit margin was up. So where does that come from? Is it just the rail business? Or is it the case that in the roads business this may vary from one territory to another? Question number three is about residential property. Have you changed your take since 2023? The new housing minister in France took a rather welcome position. These -- her positions was welcomed by players in this industry. Have you -- since the new government, have you taken a new outlook? And then what's your take on the defense business, both for the construction business and the telecom?
Olivier Roussat : Equans margin, did the Equans people start with the easy part of the work? Edward, please reassure us.
Jérôme Stubler: Well, look. The question is fair enough. Every year, we focus on the following year. So that's the first part of my question. I've been saying this for 2 years now. So year after year, we look at the tasks we have to perform to stay on track or at least -- or even slightly above that. To improve a company's performance, you have the financial performance, but behind this, there is significant management work. You might consider that the last steps are more difficult to climb than the first steps because this is maybe more subtle, but the first steps are not that easy either. You have to change mindsets in the Perform plan. And so the first steps are also a combination of managerial changes, changes in mindset. And then in some of the businesses, the steps were pretty high, but in any case, if you look at the Perform plan, we still have work to do on bug killing, on turning-around profit centers that are running losses. On our procurement trajectory, there is some ways to go because we've been working hard in France. There is still work to do in the rest of Europe. And we are starting off in North America, U.S. and Canada. And then the last 2 items. Pricing, we've made significant effort. Nonetheless, there's still some work to do there as well because price adjustments are gradual, depending on the business. And so there are a few areas which we'll need to work on to be as profitable as the competitors.
Olivier Roussat : The announcements of Capital Markets Day will be met when we publish our numbers at the end of '27. We are looking at 5%. We have no doubt at all that we'll get there. Regarding improvement of Colas' profit margins...
Pierre Vanstoflegatte: Yes. Well, on Colas, there is one part of the rail business that has been driving profitability, thanks to the large projects that were taken in overseas. And so -- but all the other businesses have been working on improving performance; being more selective in the deals; taking high-value, high-quality projects, but it means that, in some cases, revenue was down. In Canada, we didn't decide to cut down on prices to preserve volume, but that is why we've been improving profitability.
Olivier Roussat : On the housing, on the residential property business. Before Emmanuel takes the floor, let me just give you an important reminder and just to illustrate what I was saying earlier on. And we try to ensure that a dove will bring the spring, will bring spring. Sales were cut last year. And institutional investors might buy fewer blocks. The Pinel mechanism was not renewed. It's been discontinued, but in spite of it all, Emmanuel, in terms of market shares compared to 2024...
Emmanuel Desmaizieres: In 2024, we were able to make the most of the PDZ low-interest-rate house loans. So that was extended throughout the territory. And there's tax-free donations for free -- for new housing. That will have less effect than low-interest loans in the countryside. And we are expecting the Pinel mechanism to be somehow reconstituted. It was very beneficial, but because we cannot tell for sure, we're looking rather at but a stable outlook for next year.
Olivier Roussat : For the defense industry, we're working on decarbonization of the British military. There's a company called VIVO working on that and also working in the navy...
Jérôme Stubler: Yes indeed. That's not consolidated, all the support work in Britain, the decarbonization of army barracks and military bases. We're working on that. We're working on military facilities in Northern Europe, especially in Belgium. That will mean more volume for the military business. We provide our -- we provide support work. We're working also in defense electronics. I can't tell you much more. And then I cannot give you figures, but we're fortunate enough to be involved in issues related to atomic weapons. And again there is significant demand there, but we're not saying more.
Olivier Roussat : [Foreign Language]
Pascal Minault: One final point -- and we have -- we work for the 3 armies in France. In 2024, we were selected for a general partnership that we were selected for, following 2 more major contracts called covered by unique, again between the €100 million, €120 million in each case. So we have consistent work. We also work in a number of naval bases or air force bases. We also work on projects abroad with the British Ministry of Defence. We're currently on the upstream part of a particular project.
Pierre Vanstoflegatte: As for defense infrastructure, let's call it that. In other words, how you get a tank or a plane moving. Well, particularly in the last 2 or 3 years, these investments have been ramped up in a number of European countries, so we're taking an active part in air bases in Finland, Poland, France, Belgium; even in the U.S., where we have work on a number of very large air bases. This is part of our core business and a part that's developing very rapidly.
Olivier Roussat : Thank you, gentlemen.
Operator: Next question is from Chaima Ferrandon, ODDO.
Chaima Ferrandon: How do you see -- how do you see the order intake from local government in France?
Olivier Roussat : In 2025, the backlog, Colas' backlog -- and Colas works mainly with local and regional government in France. That's the bulk of Colas' clientele. The backlog, as I told you, is up on 2024, which is quite logical insofar as we are in the buildup to elections. So we expect it to improve in 2025. If I look at our activities in construction as a whole, between projects that may be postponed, but there are also projects that -- in terms of energy renovation in public buildings. These are new projects, which means that our backlog in building in France is also up. So overall, our level of business is good. There are no particular red flags anywhere in Equans. Even if France can be deemed sluggish, our construction business on the whole in France is improved. Well, it did improve in '24 or '23. And we expect it to improve again in '25.
Operator: Next question, from Eric Ravary from CIC.
Eric Ravary: I have 2 questions, Bouygues Immobilier and Bouygues Telecom. Concerning Bouygues Immobilier, given the restructuring and streamlining that you've implemented, can we expect your COPA to break even in 2025? And in Bouygues Telecom, we saw that certain figures were down in '24. Were you expecting this to continue in 2025? Could you say a few words about competition in the mobile sector early 2025?
Olivier Roussat : Let's begin with Benoît. We will let Emmanuel answer your question on real estate -- no. He's ready. I know he's -- okay, off you go straightaway.
Emmanuel Desmaizieres: We talked about the difficulties in property and the residential market in particular, with a number of important pillars here. One of them is confidence. As you know, there are a lot of uncertainties in the international market. The other one is interest rates. We have some difficulty understanding what way interest rates are heading. Certainly buyers of residential property struggle with that, but as for the restructuring of Bouygues Immobilier, this streamlining has borne fruit. We've saved about 50 million, which we expect will bring us back to breakeven very soon. And we should be even close to that by the end of the year.
Olivier Roussat : In real estate, in residential, we need confidence. People have to be confident about the -- postponements rocketed because people didn't know what way the market was heading. And when you don't know, it's very difficult to get involved in a purchase that will involve you over in 15, 20, 25 years. So confidence is an essential component. We need lower interest rates, of course, but you have to be confident about the future before buying a home. Very clearly, at this juncture, the future is all very rosy, so people have no trouble at all committing to the future -- I'm only joking. Benoît?
Benoit Torloting: In the mobile business, we are talking about a market that is now mature. And in fact, it was overheated back in 2024. It's been more than mature and was highly competitive, but the growth of the mobile market in France, the growth in the number of plans in France, has slowed considerably in '23 and further again in '24, and yet there's a fierce competition on prices, in particular in '24. Acquisition prices remained very low. This is why we said early last year that we could foresee tension in the market and probably be a drop in the ABPU in mobile. We expect that to continue the next few quarters. This is why in 2024 we devised a new strategy. The initial outcomes were explained here today. This strategy is based on fixed lines, which have become a driver of growth, be it in network, boxes, our experience with our customer base, also based on a family-type approach because we're now talking about revenue per household. This is the type of thing we're looking at, not individuals or whatever. Well, strategy is also based on anchoring customer loyalty. This is fixed and mobile. So we're endeavoring to reduce the churn. That's the strategy. That's what we're doing. You'll have seen the initial sales figures. Now we'll see over the quarters to come how that pans out.
Olivier Roussat : Thank you.
Operator: We're now going to take questions from the conference in English. We will now take the question from Carlos Caburrasi of Kepler.
Carlos Caburrasi : I have 2. First, on Equans, you continued to deliver. And I say that, to achieve your '25 and '27 targets, you have to expand your margins by 50 basis points per annum. Do you think that should be the norm beyond 2027? Or you would expect a normalization towards the low to mid-5%. And second, on the dividends side, historically we've seen flat dividends per share for at least a couple of years before increasing, but can we assume now that the new norm will be this €0.10 increase per annum going forward?
Olivier Roussat : In the Equans performance, as explained -- or so I should say the Equans targets, as we've explained them, for 2027. What I can say is that we are very confident. We have no doubts whatsoever about the fact that we will achieve our targets in 2027. When I turn to my peers and look at their results, I am convinced that it's possible to do even better, so over and beyond the 5%. After 5% is 6%, so we'll see when we achieve that and when we can aim at higher, high margins. Jérôme?
Jérôme Stubler: First of all, as you said, there is a comparison with our peers. And the methods used are -- may vary from one to another, which can create a variance of 1% to 1.2% or 3% in terms of results in the case of Spie and Vasi, but if we adjust for that, their profitability is already above the 6% mark. So depending on the method of calculation you use. We've announced a profitability margin -- or profitability goal of 5%. We're well on target, but it may be that at some point in time we will want to adjust that. But after '27, there's 2028. There's time. This is an annual appointment, so we will update it next year. We're not going to keep updating or upgrading by 0.5% or 50 basis points every year. We are not -- there are people ahead of us. Our people are paving the way and makes it easier for us to upgrade our results.
Olivier Roussat : Thank you. Next question -- the dividend. Sorry, sorry. The dividend, Pascal?
Pascal Grange: The question on the dividend. Well, today's good news is that we have increased the dividend by €0.10. We also increased it last year, so I can't call that the new normal. What is the group's dividend strategy? Well, we increase the dividend. And we are very confident that we can maintain that in the future. We've, let's say, risen a step. Next year, we'll see, but I'm not going to give you guidance saying that the dividend will increase by €0.10 every year. It's not going to be a systematic €0.10 increase every year, no.
Operator: And we'll now take our next question from Akhil Dattani of JPMorgan.
Akhil Dattani: I've got 2, please, if I can. The first is on the fiber JVs. You mentioned you won't be exercising the SDAIF option this year. Could you just talk us through your thought process there? What's going to drive you to decide as and when you exercise this? And if you can remind us, when are the key exercise dates? And if there's any sort of high-level financials you can provide as well, that would be interesting. And the second one is going back to SFR. And given the debt restructuring we've now seen at SFR, leverage still remains on the higher side. If they were to consider selling pieces of the business as they look to continue deleveraging, could you talk us through whether assets like that could be of interest, I guess, specifically, be it specific brands or infrastructure? What are the sorts of things that could potentially be of interest to Bouygues?
Olivier Roussat : While Benoît is preparing about SDFAST, we will tell you how we produce to cut up or carve out SDAIF and tell you what we're interested in. I think that's what you're asking me. Well, that is pure science fiction, I'm afraid, so I can't answer that. What I can tell you, because I saw this back in 2016, is that if there were to be a consolidation in the market, reducing the number of players from 4 to 3, and if the antitrust authorities were to authorize that, if that were to be the case -- what we saw back in 2016 is that only works if all 4 players agree about cutting up the one that we have decided to chop up. So this is from experience. So this is something that has to be done together collectively, in full compliance with antitrust law, so I have no way of knowing how to answer that question. So what about the options on SDAIF?
Unidentified Company Representative: I think we've answered the second question. Okay, we could tick that box.
Benoit Torloting: Okay, the buildup in the capital of our joint ventures. Well, we've told you more or less what we intend to do this year. We've -- every year, we have a window of opportunity in which to decide how we position ourselves. Next window will be next year. This year, we decided not to take up the option. Next year, we'll see. And we review all the components and all the aspects of the deal every year. If one day we were to integrate this or if we were to, let's say, take the option to 51%, that would generate 100 million to -- increase our EBITDA by 100 million, but our debt would increase by 700 million. That's the dilemma.
Operator: We will now take our next question from Rohit Modi of Citi.
Rohit Modi: Most of them have been answered. Just 2 follow-up. One, on the fixed business, you have seen a bit of a slowdown in the service revenue growth from the fixed business. If you can give us, what are you seeing in terms of market? And how should we look at the growth in 2025, whether it should be fading from here? Secondly, on the La Poste impact. You mentioned 90% migration completed in 2027 but overall impact being neutral, so if you can just guide us, what are the mitigating factors in terms of whatever benefit you're getting? And what is mitigating from that?
Olivier Roussat : Okay, beginning with the fixed market and the possible slowdown. There is no slowdown in the fixed market that we can see. Benoît? On the contrary, we've told you this is our best quarter since 2011, which isn't exactly what we call a slowdown, on the contrary. We would call that accelerated growth.
Benoit Torloting: Yes. Bouygues Telecom's performance has accelerated. If you look at the Arcep's, the regulator's, figure for fixed market growth, okay, the growth has slowed slightly, but it's still growing. During the COVID years, growth was especially high. You are now back to market growth that is not that high, as high it was before. And it's not exactly what we call weak growth either. So in the fixed market, there's a lot of upside potential in terms of equipment. A lot of homes aren't fully equipped. A lot of holiday homes aren't fully equipped either, so our fixed market expects growth and good growth. In this market, Bouygues Telecom's performance is itself accelerating, thanks to the assets we have, thanks to the quality that we've built up over the years in our boxes, our SAV. These are all producing results. We also have new categories of offerings since late last year. And pure fiber, we've opened up whole new segments in which we are alone, which of course generates performance for Bouygues Telecom.
Olivier Roussat : Thank you, Benoît.
Operator: Nicolas Mora from Morgan Stanley.
Nicolas Mora: Will generate income over the year. Secondly, on Equans, margins seem to be well hedged. You talked about upside in the medium term. In terms of organic growth, can we expect good organic growth in 2025? Has the cleanup in the U.K. been completed? What about data centers? Or is the macro environment still sluggish.
Olivier Roussat : Okay, working capital requirement, I'm going to ask Pascal to take that question. WCR, as we call him. You are the -- he called you Philippe, but this is the current Pascal Grange.
Pascal Grange: Okay, on working capital requirements, well, the techniques aren't new. And Bouygues Construction, for years and years now, we've been telling you that our WCR is good because all our people are focusing on it at all stages of the process in generating working capital requirement. First of all, we negotiate contracts in which the payment clauses are positive because, over and beyond the amount of treasury they generate -- not a lot last year, by the way, but it's a way of controlling risk. And that's extremely important from that point of view. So it begins with the negotiation of our contracts. Secondly, you have to bill on time, easier said than done, but every day counts. So that's important, to get the bills out. Then there's the whole process of supporting our clients to be sure that they pay us in the fullness of time and not several days later. And particularly with, let's say, more fragile clients, it's important to have a structure that make sure that we are paid on time. We've been doing this for quite some time at Bouygues Construction. In our other businesses, we support our clients in the same way, but in the other businesses, there's room for improvement that we identified at the time of acquiring Equans. But at Colas too, there's a upside potential that we've identified over the last 2 years. Now this is theoretical, but in contracting, this is not a model. We can't say that -- because we had a good year last year, that we will do a very good year in 2025. All our people are highly motivated every week, every quarter. They are all geared towards improving that figure, but I think we can still improve a little more in the medium to long term. As for where we'll lie at the end of the year, which is what I say at every single analyst meeting since I've been CFO, yes, quite some time now, this is not something you can modelize, so we can't give you any guidance.
Olivier Roussat : In the slide on our sales growth, we said continued organic growth. That's what we said. Is that not enough, continued organic growth? [indiscernible] Pascal -- he has the mic. He'd like to say a few words.
Pascal Grange: Okay. I'd just like to say, as you're almost talking about this earlier on, we're still working on our top priority. It's not growth. It's improved margins. When and if we can do the two at the same time as we did in the last 2 years, then we're obviously very happy about it, but there's no question of jeopardizing our margins to boost to organic growth.
Olivier Roussat : Thank you, Pascal. I believe that was the last question and -- unless there's another question from the room, in which case…